Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Brookfield Renewable Energy Partners 2014 First Quarter Conference Call and Webcast. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Richard Legault, President and Chief Executive Officer of Brookfield Renewable Energy Partners. Please go ahead, Mr. Legault. 
Richard Legault: Thank you, operator. Good morning, everyone, and thank you for joining us this morning for our first quarter conference call. With me on the call is Sachin Shah, our Chief Financial Officer; and Nick Goodman, our SVP Finance. 
 Before we begin, I would like to remind you that a copy of our news release, investor supplement and letter to shareholders can be found on our website at brookfieldrenewable.com. I would also like to remind you that we may make forward-looking statements on this call. These statements are subject to known and unknown risks, and our future results may differ materially. For more information, you're encouraged to review our regulatory filings available on SEDAR, EDGAR and on our website.
 Clearly, we are very pleased with our financial results, which were amongst the strongest in our history and provide a validation of our growth and investment strategy that we pursued over the last 24 months. Adjusted EBITDA of $360 million and funds from operations of $185 million were amongst the highest of any quarter in our history. 
 Both hydroelectric and wind generation were largely in line with long-term averages, but the story this quarter was one of pricing. We saw high prices across our markets, and we were able to capitalize on these trends. In the Northeastern U.S., gas constraints and plant retirements, compounded by a very cold winter, led to prices that were considerably higher than in recent memory. While in Brazil, similar underinvestment and supply compounded by a hot and dry summer has led to prices routinely reaching the daily price maximum in excess of BRL 800 per megawatt hour. These price trends significantly contributed to our quarter -- our first quarter results. 
 As we've outlined over the last few quarters, our strategy is built on 3 key themes: first, growing in our core markets and diversifying into new markets; second, commercializing our development pipeline at premium returns; and third, positioning the portfolio for improving market conditions. All of these themes are in line to help us meet or exceed our distribution growth targets. We've made great strides in each of these areas in the first quarter, and I will now pass it on to Sachin to provide you an update on our progress against the strategy. 
Sachin Shah: Thanks, Richard. Since launching BREP, we have acquired more than 200 million megawatt hours of generation at historically low prices in anticipation of a significant need for new investment and rising prices. The first quarter of this year has shown early signs of this thesis playing out in both North America and Brazil as Richard described earlier. 
 During the quarter, we closed on the acquisition of a 33% interest in the 417 megawatt Safe Harbor hydroelectric facility in PJM, and the 70 megawatt Black Bear hydroelectric portfolio in New England. Both of these transactions are consistent with our strategy of buying high-quality hydro with upside in attractive markets. 
 In addition, we are progressing on closing our first acquisition in Europe as we move forward on establishing an operating platform and growth engine in a new market. The Bord Gáis acquisition in Ireland includes 320 megawatts of operating wind capacity and represents approximately 15% of Ireland's installed wind capacity. The output is contracted on a long-term basis, featuring fixed minimum prices indexed to inflation and the ability to benefit from rising market prices over time. Ireland is primarily a gas-fired market, and its strong wind resources allows wind power to be an attractive and cost-effective source of long-term electricity supply, which positions the portfolio for future growth, given its more than 400 megawatts of pipeline in construction and underdevelopment projects. 
 In addition, we have been advancing both our existing development pipeline and looking to acquire new projects in an environment we believe undervalues their potential. A great example of this is our 45 megawatt Kokish River hydroelectric facility in British Columbia. 
 We're extremely pleased to announce that together with our partners, the Namgis First Nation, we have achieved commercial operations of this facility, which benefits from a 40-year PPA with BC Hydro. And we've delivered on scope, schedule and budget with returns that will be in line with our expected target of 17% to 20%. 
 Our development efforts are now focused on developing several hyrdro projects in Brazil, as well as the significant Bord Gáis wind portfolio, which will bring our renewable development pipeline to more than 2,000 megawatts. To put the gap -- the cash flow growth potential of the business into perspective, we underwrote much of our merchant position in North America at $40 to $50 a megawatt hour. And on the assumption power prices in North America increased to $70 to $80 a megawatt hour on a sustained basis, it would add approximately $60 million to our annual FFO. In addition, we believe our development pipeline provides us the opportunity to invest approximately $500 million of BREP equity over the next 5 years, which could add another $80 million to $100 million of FFO annually to the business over that time. This embedded optionality can provide meaningful cash flow of upside to our investors and gives us confidence that we can grow our distributions at the high end of our stated 3% to 5% range annually, without factoring in future M&A growth. 
 I'll now hand the call over to Nick to discuss our financial and operating results. 
Unknown Executive: Thank you, Sachin, and good morning. Generation for the quarter was in line with long-term average. Strong financial performance was driven by high prices across our markets. 
 Revenues were $480 million compared to $437 million for the same period last year, reflecting higher prices and growth in our portfolio. Operating costs are in line with plan and reflect the cost-saving initiatives implemented last year as part of our North American reorganization. 
 As a result, adjusted EBITDA for the period was $360 million, representing a year-over-year increase of $41 million. After factoring our partner share of EBITDA and interest costs, funds from operations totaled $185 million, an increase of $23 million year-over-year. Our financial position continues to be very strong with $1.2 billion of liquidity at year end. As we continue to grow the asset base, we remain focused on lowering our cost of capital. In the quarter, interest cost remain consistent year-over-year, reflecting our efforts to extend maturities and lock in low rates in this environment. 
 As you know, much of our portfolio benefits from long-term contracts. This allows us to book refinance maturing debt and pull additional capital out of our asset base. This optionality has proven to be an important source of potential capital. This can be redeployed into accretive opportunities. 
 An example of this is the recent refinancing of our hydroelectric portfolio in Northern Ontario. Completed in the first quarter, it has generated incremental proceeds of $150 million. 
 Finally, during the quarter, Brookfield renewable was added to the S&P TSX Composite Index. Membership in the Index should provide greater global visibility and liquidity, which should be beneficial in our efforts to grow and diversify our shareholder base and enhance our access to capital over time. 
 That concludes our formal remarks. Thank you for joining us this morning. And we would be pleased to take your questions at this time 
Operator: [Operator Instructions] First question today is from Nelson Ng of RBC Capital Markets. 
Nelson Ng: First question is in terms of the, I guess, high-power prices due to the polar vortex, are you able to quantify the benefits that you experienced in the U.S.? 
Sachin Shah: Nelson, it's Sachin here. If you look at our EBITDA being about $40 million ahead of last year, just over $40 million ahead of last year, I would say, about 70% of that came from price increases, 70% to 75% came from pricing and about 25% to 30% came from growth in the portfolio. 
Nelson Ng: Okay, that's great. And then just moving on to the Irish wind acquisition, do you have an expected time for that transaction to close or is that like -- are we looking at Q2, Q3? 
Sachin Shah: Yes, we expect it would be by the end of Q2. 
Nelson Ng: Okay, got it. And then just finally, in terms of the Lake Superior gas facility in Ontario, do you guys have an update in terms of negotiations with the Ontario government? And can you just remind us when that facility's PPA expires? 
Sachin Shah: Sure, it's Sachin again. So the PPA has expired. In terms of our negotiations, I'd say, they're ongoing, but we are not hopeful that they will resolve themselves in a way that we would find satisfactory. So I'd say, our expectation at this point, Nelson, is we have 1 other gas facility in the portfolio that we run from time-to-time when spark spreads and gas prices provide profit opportunity. And we'd likely put LSP into that category as well if we're not able to resolve the contract negotiations satisfactory with -- satisfactorily with the OPA. 
Nelson Ng: Okay. And then just one more -- sorry, off topic question, probably for Richard. With the recently announced sale of AltaLink yesterday -- obviously, they own transmission assets. I'm just wondering whether electricity transmission assets, in general, whether it's in North America or Brazil, would be an asset class that's suitable for BREP or is that an asset type that's kind of reserved for other Brookfield entities like BIP? 
Richard Legault: Nelson, I can be very clear on that topic. I think transmission infrastructure is an infrastructure -- or transmission assets are an infrastructure asset. And they are part of BIP today and will be so in the future. 
Operator: The next question is from Juan Plessis of Canaccord Genuity. 
Juan Plessis: Richard, you've spoken about locking in long-term contracts at some of your recently purchased merchant facilities at some time in the future. What's your view on the timing for power prices to improve to a level where you're comfortable locking in contracts? 
Richard Legault: Well, I think that again, we have -- in North America, in particular, we have 2 significant positions, one is in New England as part of the White Pine's acquisition; the other is for the contract that is coming to its end with TVA in Tennessee. I think those 2 positions today, if you look at where markets are, conditions are improving. And in our minds, we continue to think that we either keep all options open, but we have been having a lot of discussions with various parties in that area. I would say that, again, long term, those prices haven't reached what we believe to be something that's appealing to lock in for a long period of time. We think the option value of keeping it on sort of the shorter end of that spectrum is probably more valuable to shareholders today. But I think within the next couple of years, I think -- I do see things improving. I believe that what we saw in the first quarter, clearly, is a trend not just a blip. And we'll see how that translates into long-term contracts. But to answer your question directly, I think not probably a couple of years still to go before we lock in long-term deals. 
Juan Plessis: Okay, great. And moving on to Brazil, you locked in some generation for future quarters at favorable prices. Can you give us a sense as to the magnitude of what that might mean, I guess, in terms of incremental revenue over the rest of the year? And also did you sell forward at favorable prices last year? 
Sachin Shah: Juan, it's Sachin. So I'd say, this does sell nicely with your first question around the right time to lock in. I'd say in Brazil, we are now entering 24 months into a high-pricing environment, and buyers of power are starting to realize that there is significant stress on the system. And they need -- and new investment is needed. This wasn't just a blip. And so what's happening is we're starting to see term come to the market, contracts for 3 to 5 years to 8 years are starting to be signed. And we've been largely patient over the last 12 months. And I'd say, we're now starting to look to sign longer-term contracts, 5-year type contracts if we can find them. In terms of pricing, you'll remember that our largest position there was about a terawatt hour of power at Akira, one of our facilities, which had a contract that was coming due at around BRL 150 to BRL 160 a megawatt hour. And we would expect that we could can start to sign contracts in around the 200 to 220 range for that piece of power that we have on contract. And that  would be the biggest position in Brazil. Everything else would be fairly small. 
Operator: The next question comes from Andrew Kuske of Credit Suisse. 
Andrew Kuske: Just continuing with the contracting theme and looking at North America, when I look at, essentially, the realized revenue per megawatt hour at the U.S. portfolio, it looks to be roughly about 80 bucks for the quarter versus, say 72 and change a year ago. What kinds of the conversations are you having with people, and for what kind of volume and price, if you can get into that kind of granularity at this stage? 
Richard Legault: Well, again, it's Richard, Andrew. I would certainly prefer not to get into that granularity simply because I think there are a number of discussions, number of pricing points. Term is important, so this is very specific to every discussion. All I'm saying is at this time, we see that there is real retirement of capacity in both PJM and New England markets. We see that ultimately, a lot of the distribution utilities, the larger consumers are starting to get concerned, because obviously, when prices were $40 to $45, everyone was fairly relaxed about signing long-term deals. But as you see a lot more pressure on the actual grid and system, I think that clearly, that, that interest has now sort of reemerged. I wouldn't say it is a -- I don't think there's any imminent contracts to tell you about. And I would rather just not get into a lot of the details with some of them being somewhat confidential with those customers. 
Andrew Kuske: That's understood. I guess maybe more broadly and away from the price specifics, but are you seeing still a healthy appetite for and price delta to the positive side for renewable portfolio power versus what would come from fossil? 
Richard Legault: Absolutely. I would say that, that -- there is appetite, Andrew, just to be specific. There is appetite, there's also appetite for term. The issue is price. So it's now just a matter of time in my mind before people start to want to actually lock in a fixed price for a long period of time. People feel that this was more of -- I think somebody referred to it as the polar vortex, which actually I -- if somebody's coined that phrase. But I really think that at some point, it was a lot more than just cold. The system starting to appear in the system a lot of cracks that pushed prices on a sustained basis for the whole quarter in ranges that people didn't expect. So I think that errors -- certainly, that seems very positive in my mind for the portfolio. And we're extremely well positioned in both PJM and New England with the positions that we have. And I would sort of reiterate that in Brazil, that's even more so. There is a significant need for power infrastructure in Brazil right now. And ultimately, dry conditions have just compounded that. But at the end, there's been an underinvestment in Brazil. We essentially identified that a couple of years ago. We find that today, we're extremely well positioned there as well. 
Andrew Kuske: And then if I may just, one final follow-up on that price spread around renewable versus fossil. And I guess, what we've seen historically has generally been something like in the northeast market of the U.S., a $20 to $40 premium for renewable power over market price. And it varies obviously, but we've tended to see that kind of premium with the surge in market prices now, which are largely driven by the rise in fossil fuels and some tightness in the market. Do you think that spread really remains the same, or does it start to widen out even a little bit more? 
Richard Legault: Listen I will -- in my mind, as the actual value of power increases, there probably is something where that spread will certainly, I think, narrow. Simply because as you get closer to sort of bulk power and ultimately, there is a lesser need if you want renewables to actually be part of your portfolio. The premium needs to be probably less so. 
Sachin Shah: And Andrew, it's Sachin. Just to add to that, so if you think about -- we've had these conversation in the past where if you look at long term, what's going to provide bulk power and diversity to the system in North America? It's gas because it's plentiful, and that's clearly going to provide bulk power. And then diversity will come from renewables, which also have an added benefit of reduction in carbon. And to make a long-term guess on where gas settles, which to your point, provided that spread to renewable. I think people are getting more and more comfortable that gas prices aren't going up, which means power prices, on a bulk basis, are going to go up. And renewables have always been at a premium to that given their carbon -- their less carbon-intensive nature. So I think our view would be both 2 things: Power prices are going up and the spread is narrowing. 
Operator: Next question is from Sean Steuart of TD Securities. 
Sean Steuart: Couple of questions. With respect to the development pipeline, wondering if you can give some guidance, I guess is let’s start with Ireland, the Bord Gáis assets, how much you anticipate spending on CapEx to build out that development pipeline over the next couple of years once you close that deal? And then follow-on in Brazil, I guess you've noted the 125-megawatt project, how much CapEx can we anticipate there? 
Sachin Shah: Sure. And you've heard us say we think there's about $500 million of equity to spend over the next 5 years. I would say, starting with Europe on the Bord Gáis acquisition, I would expect, based on what we've seen -- we haven't closed on the transaction, but we have underwritten all the assets. And I would say our expectation would be somewhere in the EUR 75 million to EUR 100 million range to build out a portion of that development pipeline over the next 3 to 4 years. Then when I get to Brazil, I would say we've got clear -- there is a 25-megawatt project, which we're advancing. There's another probably 150 megawatts, which could follow-on after that if we get the right pricing environment, the right economics in those projects. And that would likely be another $250 million to $300 million of development spend. So there's a healthy level of development spend between those 2 markets. And I'd say it's less so today in North America, but as prices rise and if they start to rise in a sustained basis, some of our projects in North America start to look more meaningful as well. 
Sean Steuart: Thanks, Sachin, and then just one other question for you. You noted the success you've had in, I guess, refinancing activity, extending maturities, lowering borrowing cost. Any guidance you can give, I guess, on further room to optimize that part of your capital structure? 
Sachin Shah: Yes. It's a good question. I mean I think we've been doing as much as we can, obviously, the last few years. I think the real amazing option we have in the business right now will come from a lot of these assets that we bought on a merchant basis. So if you think about us underwriting these at $40 to $50 megawatt hour, even if prices go to $65 or $70 and are lower than what we think the baseline should be, there is significant amount of capital that you could pull out over the next 5 years as we refinance all of these assets and pull a large portion of our equity -- initial equity capital invested out of the asset base. And the benefit of that is, one, it allows you to continue with an investment grade capital structure as long as you've locked in those revenues; but two is it minimizes dilution of the stock, which -- the endgame for us is growing our cash flow on a per share basis. So we've had a track record of doing this for the last 15 years. And I think that's a huge part of the optionality of the business in the next 5 years that we don't spend a lot of time talking about but you kind of see show up every year through $100 million to $200 million of a financing. 
Operator: Next question comes from Steve Paget of FirstEnergy Capital. 
Steven Paget: It's Steven. Could you please give more detail on the Northern Ontario refinancing the term and interest level and the contracts backing those assets? 
Sachin Shah: Steven, it's Sachin. So those would be termed to 2023, so I believe 9 years. And they were 2 tranches of debt that we issued for a total of $150 million. The first tranche was around 3.8%, the second tranche was just under 5% for that period. And they're backed by the contracts we have in place currently on all of our Ontario assets. 
Steven Paget: And when you discussed the $500 million in potential equity investment, how much of that could reach a final investment decision by the end of 2015? 
Sachin Shah: I'd say it's not -- it's fairly lumpy. And by the end of 2015, we haven't really given guidance as to the profile. But I'd say, $100 million by the end of -- $100 million to $150 million by the end of 2015 isn't unrealistic. 
Steven Paget: And how much of this potential investment would be in Brazil? 
Sachin Shah: A lot of our pipeline right now, as you heard from the previous question, a lot of our pipeline today is in Brazil. It's a market that one, we control a pretty good position in hydroelectric development pipeline. And I'd say, about -- out of the $500 million, I'd say 80% or so is Brazil, and 20% is Europe. 
Steven Paget: Have you ever looked at the possibility of selling power options may be modeled on a Black-Scholes basis, a way for someone concerned about power prices to buy a power option that gives them some hedging? 
Richard Legault: Well, it's Richard. I can tell you that there is a market that actually trades options for power. So ultimately, although the liquidity passed some period of call it, 30, 36 months would become somewhat thin. But we have not really sort of explored that type of instrument in order to surface value for shareholders. I wouldn't expect that we would -- we've always considered that we do better at optimizing the physical electron values than to actually going into financial markets. They're obviously sort of risks and that entails that was never really part of our business model. 
Steven Paget: And finally, my last question, if I might. How much of your power sales in the U.S. in the first quarter were -- would you classify as peaking, and how much would be base load? 
Sachin Shah: Steven, I'd say, if you look at our -- in North America, much of our position in Canada is reservoir based, and I'd say a lot of that provides peak power. In the U.S., the generation, I'd say, is pretty balanced between run-of-river baseload and peaking with reservoirs. If I had to put a percentage on it though, I'd say we probably have about 30% that provides peaking capability and the balance is more baseload. 
Richard Legault: Just to add to that, I think our Canadian and U.S. portfolio have a very different profile. So most of our Canadian assets would have reservoirs, and therefore, have peaking capabilities. In the U.S., I would say it's about 30% on average of the portfolio. 
Operator: [Operator Instructions] Your next question comes from Frederic Bastien of Raymond James. 
Frederic Bastien: I'm sorry I came in late, but I'm sure you've brought up, you've touched on that subject. But you did mention that the pricing strength was encouraging in the quarter, and perhaps, not only due to the cold weather. Have you seen this trend carry -- this trend carry into the second quarter? 
Richard Legault: It's Richard. Yes, I think we've seen obviously, not as strong, but the encouraging thing I find is that the actual forward curves have moved up. So that's not just the quarter. That's actually moving up the whole curve over time. So whether or not today, you are in a period where the actual freshet, particularly in the Northeast, where the actual snow melt on the ground across our watersheds are coming in a little late. So the volumes clearly are going to be a little late in the quarter. But prices, obviously, are reflecting that there is more power today than there was in the first quarter in the marketplace. But like I say, Frederic, the one key thing that is encouraging for us is across the spectrum of various markets, the actual price curves longer term are going up. 
Frederic Bastien: Good to hear. Also just curious about the opportunities that you're currently looking in other parts of, well I guess in Europe more specifically. Are these heavily weighted towards hydro as per your current portfolio, or are you looking at a basket of opportunities that is more evenly weighted between perhaps hydro and wind power? 
Sachin Shah: It's Sachin over here. I'd say it's fairly evenly weighted. Obviously, we love hydro. And we recognize the value it brings to a system and to shareholders. The reality is hydro is just more difficult to acquire in Europe. It doesn't transact often, and it's often held in a very fragmented way. So we actually have looked at some hydro transactions in Europe. We've been participating in processes around hydro, but we've also seen a number of wind and solar opportunities there. I think all 3 technologies, we would pursue in Europe. And obviously, it's all dependent on return and risk for us and what we think we can grow the operating business on. 
Frederic Bastien: Okay. And then if you looked at the opportunities that you're seeing for the entire portfolio, you're still seeing a lot of activity in U.S. and Brazil? 
Sachin Shah: Absolutely. I think the U.S., in particular, is tremendously strong right now in terms of transaction activity, capital that's coming into the market. A lot of the capital that was previously spread out throughout the world is now back in the U.S. And you're seeing that through the capital markets, you're seeing that through the health of the balance sheet of a lot of U.S. corporates. And we're, I think, we're very excited about the next 5 years of growth in the U.S. for this business. It's been good to us in the last few years. But the opportunity looked very deep. Brazil, I'd say, we like it. A lot of capital has actually fled Brazil and the currency's decline in value. But we have a strong operating presence there we are the largest owner of small hydros in the country. And for us, it's a perfect time to continue to try to find opportunities there. We wish we had more that we had found over the last 12 months, but we're very happy about the market. And the fundamentals in the power side look extremely strong as we've highlighted on this call. 
Operator: The next question comes from Tuc Tuncay of Scotiabank. 
Matthew Akman: It's Matthew Akman actually. A couple of quick questions on the quarter. I wasn't totally clear in Brazil whether in the first quarter, those pricing upsides you got were from spot sales or from short-term hedges you had put on last year? 
Sachin Shah: Matt, it's actually from 2 things. One is we did sell a little bit of our power into the current spot market or at the PLD price. We also shaped some of our power. What we mean by that is we're -- we have the flexibility on our contracts to move power between quarters. And just with prices being so high, we took power from future quarters and effectively sold it in the first quarter. So we just think it was a unique period in Brazil where prices were capping out every day. And we wanted to maximize the revenue profile of the business and sold as much as we could in that environment. 
Matthew Akman: Do you guys see any potential negative impacts of drought? I mean there's upside in pricing, but if things get too dry obviously, the entire pool gets low. But what's your outlook there? 
Richard Legault: It's Richard. All I would say is that obviously, it's a very exceptional year. I think that one of the lowest on record in terms of conditions -- hydrological conditions in Brazil. And that is combined with certainly, a growing load base. And when we look at sort of how they're dealing with that, they're using thermal facilities to actually compensate for that. So that is what is driving prices to the levels that you see today. We would see, ultimately today, everyone's watching very closely because they think, when you reach the limits of the thermal capacity, then ultimately, there's just not enough power to serve the market. So that actually will send signals to the market in terms of either pricing to try and curtail people from consuming as much. But we are watching very closely what the government will do. At this stage, people have actually -- are not calling for rationing or measures that I've just described. But ultimately, the system is really at a critical point. 
Matthew Akman: Okay. And in the U.S., I mean prices were obviously, very unusually high. And theoretically, your results could've been even stronger there if you captured all of that at all times. I'm just wondering, what  where any of the mitigating factors there that results were strong, but that held results back from being even stronger. I know generation was lower than long-term average, but where there also constraints on production on some of those really picky peaks that we saw in the Northeast? 
Sachin Shah: No, we -- it wasn’t a reliability or constraint issue. We had actually excellent reliability. We were able to generate through the winter and into the spring. We actually drew our reservoirs down in anticipation of freshet on a normal course basis. I would say that obviously, we're selling physical power, and so timing the market will depend a little bit upon the shape of our generation. But we wouldn't view it necessarily that way. I think we were able to capture much of the upside. We obviously had some hedges on from the prior year that affected this current period. That would have been at prices better than what we underwrote, but lower than where the market cleared this year. And maybe that's getting to your point of just a little bit lower than had we just sold it all spot. 
Operator: The next question comes from Bert Powell of BMO Capital Markets. 
Bert Powell: Richard and Sachin, in your letter, you talk about the objective of building a leading renewable platform in Europe. And if I think about the platform that you built here and the trading operation in Gatineau, kind of the advantage that gives you having that platform and stability to be smart buyers of merchant power, I'm wondering how you're thinking about our European platform? Is that something that you're looking to replicate? Is that something you can build, or is that something you think you have to buy? 
Richard Legault: Well, Bert, let me start, it's Richard. So first, when you look at the platform that we have in our business models, quite sort of similar went from one market to another. The marketing side is very unique and specific to each market. So if for example in Brazil, we have a team of people that actually sign long-term contracts, but we really don't have the same trading capabilities or delivering power in real time because there's no such market in Brazil. In North America, we've adjusted to ensure that every asset has to be bid into every pool that it resides in. So therefore, we have a very significant presence on the marketing side. In Europe, I would say it is a very different place to do business. Clearly, each market is very unique and we are reflecting on how do we actually enter that market, and what's the appropriate marketing strategy. But I believe it's going to be a little bit a hybrid between  what you see in Brazil and what you see in North America. The one key advantage though that I would tell you that is, I would say, more critical is how we actually leverage platforms from a cost perspective. Automation, system controls and ability to actually make sure that as we add assets to a portfolio, we can do it efficiently and very effectively and more effectively than our competition. I truly believe that, that has been one of the key elements that sets us apart from competition. We're long-term investors in each market. We set up our business so that actually we can deal with growth in an effective fashion. And ultimately, we build knowledge and competency in each one of these markets. So I would say, what we're trying to do in Europe is very much in line from a cost and operational side to what we've done in other jurisdictions and on the revenue side. It will be specific to European markets and I believe somewhere in between Brazil and North America. 
Bert Powell: And then, just on acquisitions, are you -- I know Brookfield brings a lot to the table. And I think that has enabled you to generally have more  proprietary-type transactions. Has anything changed on that front? Are you still seeing that to be the case and the opportunities where the attributes that you bring to the table as an organization are still being well received by perspective vendors in this market? 
Richard Legault: Bert, it's Richard. For the last -- since we created the income fund in '99 and now the successor to that income fund today, BREP, I really believe that we've benefited from the relationship with Brookfield Asset Management. Obviously, they have a very global platform, lots of investment professionals across the world. And ultimately, deal flow is very much sort of tied, not specifically every deal. But certainly, I think, our deal flow is more complete with that relationship than without. 
Operator: This concludes time allocated for questions on today's call. I will now hand the call back over to Mr. Legault for closing comments. 
Richard Legault: Well, thank you again for joining us in this first quarter conference call, very appreciative of your questions and comments. And certainly, look forward to our second quarter call. Thank you very much. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.